Operator: Greetings. And welcome to the Eagle Point Income Company Second Quarter 2023 Financial Results Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Peter Sceusa at ICR. Thank you, Peter. You may begin.
Peter Sceusa: Thank you and good morning. Before we begin our formal remarks, we need to remind everyone that the matters discussed in this call include forward-looking statements or projected financial information that involve risks and uncertainties that may cause the company’s actual results to differ materially from those projected in such forward-looking statements and projected financial information. For further information on factors that could impact the company and the statements and projections contained herein, please refer to the company’s filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. A replay of this call can be accessed for 30 days via the company’s website, www.eaglepointincome.com. Earlier today, we filed our Form N-CSR, half year 2023 financial statements and our second quarter investor presentation with the Securities and Exchange Commission. The financial statements and our second quarter investor presentation are also available within the Investor Relations section of the company’s website. The financial statements can be found by following the Financial Statements and Reports link and the investor presentation can be found by following the Presentations and Events link. I would now like to introduce Tom Majewski, Chairman and Chief Executive Officer of Eagle Point Income Company.
Tom Majewski: Thank you, Peter. And welcome everyone to Eagle Point Income Company’s second quarter earnings call. We appreciate your interest in Eagle Point Income Company or EIC. If you haven’t done so already, we invite you to download our investor presentation from our website at eaglepointincome.com, which I will refer to in a portion of my remarks. The company continued to perform very well during the second quarter doing exactly what its investment portfolio was designed to do, generate increased cash flows in a high rate environment due to the floating rate nature of our CLO junior debt investments. Given our confidence in our outlook for our portfolio, we are very pleased last week to again increase our regular common distribution this time by 13% moving to $0.18 per share beginning in October. We believe our portfolio remains very well positioned to generate significant income and cash flow going forward. I will share a few specific highlights from the quarter. Our net investment income was $0.49 per share, once again exceeding our regular common distributions. Our recurring cash flows were $6.9 million or $0.81 per share, well in excess of our regular common distributions and expenses. Our NAV as of June 30th was $13 per share, a modest decline from March 31st and our NAV midpoint as of July 31st was $13.44, an increase of 3.4% from our June 30 NAV. We paid three monthly common distributions of $0.16 per share during the quarter, and as I just noted, we have declared an increase in our monthly common distributions to $0.18 per share beginning in October. We also opportunistically raised capital through our at-the-market and committed equity finance programs issuing nearly 545,000 common shares at a premium to NAV, generating NAV accretion of about $0.03 per share during the quarter. These sales generated net proceeds of approximately $7.3 million during the third -- second quarter. We continue to selectively raise capital during the third quarter. Last month, in July, we further strengthened our capital position with our 7.75% Series B Term Preferred Stock offering. The new preferred stock is due in 2028 and we received net proceeds from the offering of $31.2 million, which includes the full exercise and closing of the underwriter’s overallotment or greenshoe option. As of July 31st, we have over $48 million of cash and revolving capacity available to us, which is ample dry powder to invest and further expand our investment portfolio. As is clearly evident, our portfolio continues to benefit from the floating rate nature of CLO BBs and given that 100% of CLO debt investments we hold are floating rate. Many CLO BB coupons are in the double digits and some CLOs have the potential to yield north of 20% in some early call scenarios. As long-term focused investors, we seek to construct our portfolio to manage through periods of dislocation and our consistently strong performance with respect to cash flow and income is validation that we are executing on that playbook. We continue to seek to lengthen the weighted average remaining reinvestment period of our CLO debt and equity portfolios through vintage diversification. We are excited for our portfolio’s potential for the second half of 2023 and beyond. For additional commentary on the overall market and some more detail on our recent portfolio activity, I’d like to turn the call over to Senior Principal and Portfolio Manager, Dan Ko.
Dan Ko: Thanks, Tom. Remains a very exciting time to be investing in CLOs, especially at the junior debt and equity portion of the capital structure and EIC has certainly been a beneficiary of the high rate environment. We have been actively deploying the proceeds from the EICB preferred issuance and continue to see attractive opportunities to invest the remaining proceeds over the coming weeks. Our CLO collateral managers continue to be able to build par through relative value swaps or by reinvesting prepayments into discounted loans. Loan refinancing activity continues at a good clip as CFOs and many loan issuers seek to push out their 2024 and 2025 loan maturities in order to extend their runway on their financing despite the lower spreads that they have locked in currently. As a result, many loan issuers are offering lenders higher spreads along with OID, which ultimately benefits the CLO power bill and Nexus spread. The Credit Suisse Leveraged Loan Index continued its momentum from the first quarter and ultimately posted a 6.3% gain for the first half of 2023 and its positive momentum continued further into July as it remains on pace to potentially generate double-digit gains and have its best year since the global financial crisis. In the CLO market, we saw $22 billion of new CLO issuance in the second quarter of 2023 as the market remains on pace to once again eclipse the $100 billion mark. We believe a significant majority of the volume in the first half of the year was backed by captive CLO funds, which are generally far less return sensitive. CLO refinancing and reset activity has picked up slightly. There were a total of 15 syndicated loan defaults in the second quarter. As a result, the trailing 12-month default rate stood at 1.7% as of June 30th, up from March 31st, but still well below historic averages. Given the ongoing macro volatility, most bank research desks now expect defaults to end up between 3% and 4% by the end of 2023 due to the higher rate environment and the inability for certain stressed companies to access the capital markets. That said, we continue to believe our portfolio is well positioned for environments just like these, 100% of our portfolio of CLO debt and CLO equity is paying current distributions. As we have previously noted, CLO BB debt has withstood multiple economic downturns in the past, experiencing very low long-term default rates. We believe it would take a significant amount of loan defaults well above the historic averages for EIC to be materially impacted by a default wave. While past performance is obviously not a guarantee of future results, we believe the performance of our portfolio over the past few years has demonstrated the resilience of the company’s investment strategy. We remain in a very strong position with plenty of dry powder to deploy into new investments via our cash position and revolver capacity. We will continue to be selective when evaluating investment opportunities and will act on attractive opportunities when we ultimately believe will lead to compelling risk adjusted returns for the company’s portfolio. With that, I will now turn over the call to our Adviser’s Chief Accounting Officer, Lena Umnova.
Lena Umnova: Thank you, Dan. For the second quarter, the company recorded net investment income or NII of $4.2 million or $0.49 per share. This is consistent with NII of $0.49 per share recorded for the first quarter of 2023 and compares favorably to NII and realized gains of $0.41 per share for the quarter ended June 30, 2022. When unrealized portfolio depreciation is included, the company recorded GAAP net income of $3 million or $0.35 per share. The company’s second quarter net income was comprised of total investment income of $5.8 million and unrealized depreciation on certain liabilities held at fair value of $0.6 million, partially offset by net unrealized depreciation on investments of $1.8 million and total expenses of $1.5 million. Additionally, for the second quarter, the company recorded other comprehensive loss of $0.8 million, representing the change in fair value on the company’s financial liabilities attributable to instrument specific credit risk. During the second quarter, we paid three monthly distributions of $0.16 per share, declared additional market distribution of $0.16 per share through September, and last week, we were pleased to announce a 13% increase in monthly common distribution to $0.18 per share, beginning in October. As of June month end, the company had outstanding borrowings from the revolving credit facility and preferred equity, which totaled 25% of total assets less current liabilities. This is at the low end of our long-term target leverage ratio range of 25% to 35%, at which we expect to operate the company on the normal market conditions. The company’s asset coverage ratio at the quarter end for preferred stock calculated in accordance with investment company at requirements was 401%. This measure is comfortably above the Stage 3 requirement of 200%. As of June month end, the company’s net asset value was $117 million or $13 per share, a modest decrease from March 31, 2023. Moving on to our portfolio activity in the third quarter through July month end, the company received recurring cash flows on its portfolio of $6.7 million. Note that some of the company’s investments are still expected to make payments later in the quarter. The company also deployed $10.2 million of the net capital into CLO debt and other investments. As of July month end, net of pending investment transactions the company had over $48 million of cash and revolver capacity available for investment. That includes the net proceeds of $27.1 million received in July from issuance of our new 7.75% Series B Preferred Stock but not deposit from the greenshoe that the company received in August. Management’s unaudited estimate of the company’s NAV as of July month end was between $13.39 per share and $13.49 per share. Leverage ratio as of the same period end accounting for the new preferred stock stood at 36%. I will now turn the call back over to Tom.
Tom Majewski: Thank you, Lena. EIC continues to perform exceedingly well in the elevated rate environment and help us grow and maintain NII at a high level. Loans continue to be one of the most resilient risk asset classes out there attributable to their senior secured nature and their floating rate structure. Our investment portfolio, as well as the right side of our balance sheet were intentionally designed for markets like these, which is clearly benefiting our shareholders through increased cash distributions. The three attributes as to why we remain excited to be managing a BB-rated CLO debt focused fund being as true as ever today; the potential for low credit experience -- low credit expenses as reflected by the low default rates of BB-rated CLO debt over the past 20-plus years; the potential for high returns compared to similarly rated corporate securities; and the benefits that BB-rated CLO debt offer in markets with high interest rates. Along with the locked-in nature of the CLO financing that is longer than its assets, we remain confident that EIC is well positioned to generate compelling risk adjusted returns for our shareholders. We thank you for your time and interest in Eagle Point Income Company. Lena, Dan and I will now open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions]
 :
 :
Operator: Thank you. There are no questions at this time. I’d like to hand the floor back over to Thomas Majewski for any closing comments.
Tom Majewski: Great. Thank you very much. Dan, Lena and I appreciate your time this morning and your interest in Eagle Point Income Company. Should everyone -- anyone have follow-up questions, please feel free to reach out to us directly during the day today. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.